Operator: Good day, everyone, and welcome to the Nucor Corporation Fourth Quarter of 2021 Earnings Call. As a reminder, today's call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made during this conference call will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor's latest 10-K and subsequently filed 10-Qs, which are available on the SEC's and Nucor's website. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. Leon Topalian, President and Chief Executive Officer of Nucor Corporation. Please go ahead, sir.
Leon Topalian: Good afternoon, and welcome to our 2021 fourth quarter and full year earnings call. Joining me on the call today are several members of Nucor's executive team, including Jim Frias, our Chief Financial Officer; Dave Sumoski, Chief Operating Officer; Al Behr, responsible for Plate and Structural Products; Doug Jellison, responsible for Raw Materials and Logistics; Greg Murphy, responsible for Business Services; and our General Counsel; Dan Needham, responsible for Bar, Rebar Fabrication and Engineered Bar Products; Rex Query, responsible for Sheet and Tubular Products; MaryEmily Slate, responsible for Commercial Strategy; and Chad Utermark, responsible for Fabricated Construction Products. By so many measures, 2021 was an extraordinary year for Nucor. Our team delivered incredible financial and operating results over the course of the year, while working safely and responsibly. Every single day, our nearly 29,000 team members remain focused on our company's mission to grow our core steelmaking capabilities while expanding our presence into related businesses that fit with our culture and leverage our strengths. For our team, the most important value is safety. And so, I'm incredibly pleased to report that 2021 was the safest year in our history. Becoming the world's safest steel company is a lofty goal, and our team has now achieved back-to-back record years in safety. Nucor had 16 divisions that went zero recordable injuries in 2021, and I look forward to the day when our entire company achieves that same goal. I want to thank each of my Nucor team members for your daily commitment to safety, looking out for one another and I look forward to an even safer year in 2022. Turning to our fourth quarter results. Earnings per share were $7.97, exceeding our guidance range of $765 million to $775 million. This represents another new quarterly record for our company. Looking at 2021 as a whole, we set several other financial records. Net income for 2021 was $6.8 billion, and full year earnings per share was $23.16, which were both notable increases over the prior records we set in 2018 with $2.4 billion of net income and an EPS of $7.42. Our record financial performance is the result of years of work reinvesting to strategically position and grow our portfolio of capabilities across the steel value chain. We are leveraging our competitive advantage to aggressively and opportunistically pursue value-enhancing long-term growth. Along the way, we are delivering a differentiated value proposition to our customers and expanding our relationships with them. By executing operationally across our business lines, and in parallel, investing in Nucor's future, we are generating attractive returns for our shareholders and positively impacting our local communities. In the process, we can offer Nucor teammates secure employment and competitive compensation and benefits as well as the opportunities to further their professional growth and development. Our talented, dedicated team members are Nucor's greatest value creators. Reflecting this for 2021, our profit sharing totaled about $850 million. Adding this amount to teammate profit sharing over the course of the last five decades, Nucor has allocated a total of about $3.8 billion in profit sharing to our team members. Most profit-sharing payments are contributed directly to teammates' retirement savings accounts. And as a result, we believe that Nucor teammates are far more prepared for retirement than the average American. Of course, we are also mindful of our responsibility to shareholders. We're proud to have been able to provide cash returns via dividends and share repurchases totaling about $3.8 billion in 2021 and in December to increase our regular quarterly dividend for the 49th year in a row, this year by 23% to a rate of $0.50 per quarter. Our quarterly dividend is now about 32% higher than it was in 2018. We reduced our share count by more than 11% in 2021, even as we funded capital expenditures and acquisitions totaling approximately $3 billion to drive the next chapter of our growth story. And as Jim will share, we remain very well capitalized and able to pursue our objectives. And speaking of those, as we move into 2022, we are not letting up when it comes to executing our strategy to grow our value-added product portfolio and expand into new product markets and geographic regions. Two weeks ago, we announced that Mason County, West Virginia will be the location of our new state-of-the-art 3 million-ton sheet mill. The location along the Ohio River provides Nucor with important transportation and logistics advantages in serving the country's two largest sheet steel-consuming regions, the Midwest and Northeast. Two areas where Nucor is currently underrepresented, once operational, our West Virginia mill will have some of the most advanced capabilities in one of the lowest carbon footprints of any sheet mill in the world. We are very excited to begin work with the local community in Mason County on this transformational project that will create substantial long-term value for all Nucor shareholders. On December 16, our Nucor Steel Arkansas sheet mill produced its first prime coil from its new generation three flexible galvanizing line. The new galvanizing line, combined with Hickman's highly successful specialty cold rolling mill that's been in operation for more than two years, uniquely positions our company among North American EAF steelmakers to provide the high strength, lightweight steels that are increasingly in demand. These capabilities represent important competitive advantages for our company, exemplifying Nucor's ability to meet the needs of our customers for hiring steels. Congratulations to the entire Nucor Arkansas team. Another sheet mill project, Nucor Steel Gallatin's hot band modernization and expansion, is beginning to start up in the current quarter. This project gives Gallatin's new mill, thicker slab casting and wider coil capabilities, expanding our product portfolio into markets currently served by higher cost competitors. Our Gallatin team members continue to impress with their ability to safely construct the expansion project within the environment of an operating mill, and we look forward to its continued ramp up. We are also expanding our presence in the Western U.S. In December, we announced an agreement to acquire a majority ownership stake of 51% in California Steel Industries for about $400 million. CSI is a flat-rolled converter with annual capacity to produce more than 2 million tons of finished steel and steel products. This investment, which is expected to close shortly, expands our geographic reach in the sheet market, grows our portfolio of value-added sheet products and enables us to supply Nucor's downstream businesses in the region, including Verco and the recently acquired Hannibal industries. We are very excited to partner here with JFE Steel Corporation on our second joint venture. Switching to the plate market. Our Brandon Burk Kentucky greenfield mill is on track to begin rolling its first steel plate product in the fourth quarter of this year. With the capability to manufacture nearly all the different types of plate products consumed in the United States, Brandenburg will position Nucor as a supplier of choice in the domestic plate market which includes applications in offshore wind, heavy equipment, construction and military. Finally, I would also like to mention a new project in our bar mill group. In December, we announced our plan to build a new rebar micro mill with annual capacity of 430,000 tons in the South Atlantic region. This will be Nucor's third rebar micro mill joining micro mills in Missouri and Florida that began operations in 2020. We are currently evaluating potential sites and are excited about this opportunity, to grow our profitable leadership position in rebar, a core business for Nucor throughout the last 50 years. I'm extremely proud of all of our teammates who are working so hard on all these projects as they are prime examples of Nucor's continued execution of our mission to grow the core, expand beyond and live our culture. And before I leave this topic, I just want to note that we believe we are seeing an acceleration of a transformation in our industry that has been underway for decades, forces driving economic efficiency and lower emissions in steelmaking. No North American producer is better positioned than Nucor to continue leading in these areas. With our team's disciplined focus on execution and Nucor's financial and operational strength, we expect to realize very attractive returns on our investments. We're very proud that Nucor has helped make the United States the cleanest place in the world to make steel. The green economy is being built on steel, and the steel it's built on matters. We are also capitalizing on the opportunity to supply the sustainable steel that is building our 21st century economy. Earlier this month, we shipped our very first coil of Econiq to General Motors after having just launched this new line of steels this past October. Our Econiq offering represents the world's first ever net zero carbon steel available at scale. We look forward to continuing to offer Econiq to more customers and, of course, lower greenhouse gas emission steel across our product portfolio. Nucor will continue to be a key part of our modern economy by supplying the most advanced and sustainable steel products needed to rebuild America's infrastructure. We are pleased that our leaders came together in the fourth quarter to pass historic bipartisan infrastructure legislation that will help advance and modernize U.S. infrastructure and strengthen the health of our economy by creating opportunities for American workers. With approximately half of Nucor's products going into the construction market, we stand ready to help our country meet its infrastructure needs. We also continue to work with the administration and members of Congress to enforce our trade laws so that our market is free from the distortions caused by unfairly traded imports in that as we reinvest in our infrastructure, we do so with steel produced in America, the highest quality, cleanest steel possible. And before I turn the call over to Jim, I'd like to congratulate the entire Nucor team on reaching new heights to achieve our safest and most profitable year in company's history. You have much to be proud of and on behalf of myself and our entire executive team. Thank you. Team let's keep up our focus in 2022. And of course, for Nucor, that begins with the value of safety. We have much to look forward to as we progress throughout this New Year. Now, Jim will provide more details about our fourth quarter and full year performance. Jim?
Jim Frias: Thanks, Leon. As Leon mentioned, fourth quarter of 2021 earnings of $7.97 per diluted share established a new quarterly record, eclipsing the prior record of $7.28 per share established in last year's third quarter. Fourth quarter earnings also exceeded our guidance range of $7.65 to $7.75 per diluted share. Better-than-expected results for the month of December were achieved across a broad group of businesses. Record full year net income of $6.8 billion was driven by Nucor's diverse portfolio of products and capabilities. Profitability records were set by numerous businesses, including Nucor sheet mills, rebar and merchant bar mills, engineered bar mills, plate mills, structural mills, joist and deck, tubular products, cold finished bars and fasteners. Nucor's product breadth continues to be a powerful driver of value creation through the cycle for both our customers and shareholders. While our 2021 performance unquestionably benefited from an exceptionally strong steel industry up cycle, Nucor's results were also fueled by our team's focus and commitment to safely meeting our customers' needs. Disciplined execution of our growth strategy over the years is a significant factor underlying our success. For example, five major greenfield projects completed commissioning and start-up over the 2019 through 2020 time period. They are the rolling mill modernization at our Ohio rebar mill, the hot band galvanizing line at our Kentucky sheet mill, the specialty cold rolling mill at our Arkansas sheet mill, the rebar micro mill in Missouri and the rebar micro mill in Florida. These projects represent an aggregate capital investment of just over $1 billion. For the full year of 2021, they generated EBITDA totaling $674 million. Our teammates at these facilities have done stellar work, executing across the board on safety, product quality and financial performance. Cumulative EBITDA already exceeds the investment outlays for the Gallatin galvanizing line and the Ohio rebar mill modernization. The cumulative EBITDA generated by the Hickman specialty cold mill is nearing that project's capital investment. First year EBITDA for the Missouri and Florida rebar micro mills are multiples of what we originally projected in our project return budgets. Two more major capital projects totaling just over $1 billion have entered start-up in late 2021 and early 2022. These investments meaningfully enhance Nucor's sheet product capabilities. They are the expansion and modernization of the Gallatin sheet mill and the generation three flexible galvanizing line at the Hickman sheet mill. We look forward to introducing our new capabilities to strategic customers as the year progresses, and we are excited about the returns expected to be generated for our shareholders as these projects ramp up. While 2021 clearly revealed the earnings and cash generation power of Nucor's businesses, it also provided an opportunity for us to fully demonstrate Nucor's balanced capital allocation framework. As most of you know, we are committed to first investing for profitable growth while maintaining our strong investment-grade credit rating and returning capital to our shareholders through cash dividends and share repurchases, a minimum of 40% of net income over time. When we judge that strong free cash flow is causing us to become overcapitalized, we will typically distribute more than 40% of our net income to shareholders. Capital returns have averaged 58% of net income over the five-year period ending in 2021. And they were 55% of Nucor's net income for the year of 2021. 2021 capital returns consisted of dividends of $483 million and share repurchases of just under $3.3 billion. The share repurchases totaled more than 33.8 million shares at an average cost of about $97 per share. These returns were, of course, funded by our strong cash provided by operating activities, also a new record of $6.2 billion. Other significant uses of cash during the year were capital spending of $1.6 billion, expansion of working capital mainly receivables and inventory net of payables totaling approximately $3.3 billion and acquisitions of about $1.4 billion. We remain well capitalized with excellent liquidity. At year-end, gross debt as a percentage of total capital was approximately 28%, while net debt was about 14% of total capital. Our cash, short-term investments and restricted cash holdings totaled about $2.8 billion at year-end. Nucor's liquidity also includes our undrawn $1.75 billion unsecured revolving credit facility. In November, we increased the capacity by $250 million and extended the maturity date to November of 2026. Given the state of our balance sheet, near-term investment plans and our expectations for earnings, we anticipate that we will continue returning excess capital to our shareholders during the first quarter of 2022, very likely via continued share repurchases. Our analysis suggests that Nucor's shares are significantly undervalued relative to our risk profile earnings and cash flow generation capacity. For 2022, we project capital spending of approximately $2.3 billion. Growth projects for improved product capabilities and expansion represent about 75% of our expected capital spending for this year. These include the Kentucky plate mill, the West Virginia sheet mill, the South Atlantic rebar micro mill and Gallatin's tubular products facility. Maintenance capital spending for equipment replacement spares and cost savings projects accounts for the roughly 25% remaining. We currently expect capital expenditures over the next three years to total approximately $5.5 billion. Turning to the outlook. We are confident that 2022 will be another year of strong profitability for Nucor, fueled by continued strong end-use market demand for a wide range of steel and steel products, better margins in our steel products segment as pricing is now caught up with higher steel input costs and lower intercompany inventory revaluation expenses reflecting flatter steel and raw material costs compared to 2021. Focusing on the quarter, we expect consolidated net earnings attributable to Nucor shareholders will be slightly reduced from the fourth quarter of 2021's record results. Diluted earnings per share for the first quarter of 2022 will benefit from lower weighted average shares outstanding. Steel mills segment earnings are expected to decline in the first quarter of 2022 due to decreased profitability of our sheet mills, offsetting increased profitability at our long products mills. The steel products segment is expected to achieve further margin expansion and profitability in the first quarter of 2022 as backlog pricing continues to improve. The raw materials segment is expected to improve slightly in the first quarter of 2022 as compared to the fourth quarter of 2021 due to the improved profitability of our DRI facilities, partially offset by the impact of lower scrap prices on our scrap brokerage and processing operations. Before we go to Q&A, I would like to just take a moment to highlight our Board's action to increase Nucor's base dividend for the 49th consecutive year affected with the February 11 payment. I hope you'll agree that this is an impressive track record. Our team has great determination to continue our record of delivering increased long-term value for our shareholders. Thank you for your interest in Nucor. Operator, we are now ready to take questions.
Operator: [Operator Instructions] We'll take our first question from Sathish Kasinathan with Deutsche Bank.
Sathish Kasinathan: Congrats on a strong set of financial results as well as the safety record. My first question is on the steel mill segment. You mentioned that you expect earnings to decline due to the lower flat roll margins, but I was just wondering if you could talk about the order entry rate in January and how you see the volumes for the first quarter. And also, can you talk about the ramp-up profile at Gallatin and the total incremental volumes you expect from the mill for the current quarter as well as the full year?
Leon Topalian: Okay, Sathish. I'll start this off and maybe Jim or Rex Query, EVP over our sheet group, can touch on the Gallatin expansion. Look, number one, to begin with, as we mentioned in Jim's comments that we do expect primarily because of sheet pricing, our steel mills segment to be a little off in terms of profitability. But it's important to remember as well that's coming off a historic year. And in particular, if we think about our sheet group and their performance, the sheet group set a record in terms of shipments at over 11 million tons, generated over $6 billion in EBITDA performance. And if you think about Nucor's 55% return on equity, a large piece of that was attributable because of the sheet group. And so as we move forward, the short-term inflection that we're seeing both in pricing as well as some of the volumes we think are a short-term factor. They're based on imports and obviously, what we saw in the third quarter in terms of buying patterns where the spread between HRC, domestically and internationally, was at an all-time high. We had -- the industry really catch up in terms of order entry rates and deliveries. So, the supply chain got full, very quickly, and maybe even some overbuying. And then couple that with the supply chain constraints, labor constraints and the Omicron variant raging all created for a little bit of a perfect storm here in the fourth quarter heading into early part of 2022. But again, the outlook and the demand picture across every end market that Nucor serves remains very robust. And again, we think this is going to work through the inventory rebalancing and position us well as we move forward.
Jim Frias: Yes. And for Gallatin and Rex, you can add to this if you'd like to. It's just going to have the capacity over the year to give us an incremental 800,000 to 900,000 tons. But the way the market is right now, we're going to start off at a much slower pace in the first quarter, and it's going to depend on market demand. We're not just going to make steel enforcement in the marketplace if we can't sell it at a reasonable price, Rex?
Rex Query: Yes, just some additional detail on Gallatin. As far as the outage we had, we're on target coming up. The expectation, as Jim mentioned, approximately 800,000 tons additional for the year. We'll measure that ramp-up during the first quarter with what we see on demand. There's no need to ramp that up any quicker than we need. Full -- there's additional work to be done, which is part of the plan. So in March, we'll commission the EAF, LMF and the caster. And by the end of March, we'll be capable of full production at that point with a wider strip and a thicker slab. But we're going to keep an eye on the market and really measure that ramp-up as we see what market conditions are doing at Gallatin.
Sathish Kasinathan: Okay. Thank you for the color. And then my second question is on the steel products segment. So you mentioned that you expect margin expansion in the first quarter. But can you talk about the size and duration of your backlogs currently and provide a bit more color on how you see the margin profile through the remainder of the year? We should see some strong tailwind from lower input costs. So just any color you can provide. Thank you.
Leon Topalian: Yes. Sathish, I'll kick this off and ask Chad Utermark, our Executive Vice President of Products, to really add some color in there. But if I think back to -- even in the height of the pandemic in 2020, that business segment remain incredibly robust. That has continued, and we see that continuing moving forward. The commentary that we made towards the returns and the strength that we anticipate in 2022 as the input cost level will come down, the margin expansion will certainly continue well into '22. And so Chad, why don't you add some commentary behind some of that on backlogs?
Chad Utermark: Yes. Thank you, Leon. And as Leon mentioned, as we talked about in the script, we believe non-res construction will remain very strong as we enter 2022 and even beyond. We continue to see solid seasonal adjusted quoting activity. So as we look across our broad portfolio of downstream products, it's really solid quoting activity that's ongoing. And if you combine that with our backlogs that are very robust and in some cases, they are all-time record backlogs. So that's one data set that we look at. The second and very important data set we look at is what our customers are saying. And our customers are overwhelmingly bullish on their 2022 demand. And I would ask that you remember, our growth through the years in downstream steel products allows Nucor to have a very good visibility into the demand of construction products such as rebar fab, steel piling, pre-engineered metal buildings, racking, steel tubing, insulated panel, joist and deck, steel conduit. So as we look and analyze that demand from this broad nonres construction base, we are very excited about what 2022 holds. And as far as the margins in our backlog, they're solid. We believe that pricing is solid. We don't see many of any cancellations. And I would also say that the strong backlog margins is not predicated on falling steel prices that could be coming at us. These are healthy margins due to the supply and the strong demand and balance that's out there.
Operator: Our next question comes from Carlos De Alba with Morgan Stanley.
Carlos De Alba: Thanks for taking the question. So first, if you could comment as to how you see capacity utilization in your different key products, particularly in Q1, and maybe how you see the progression into Q2 and the second half of the year, if you have visibility, given your backlog. Second question, if I may, is given the $5.5 billion in CapEx over the next three years, I mean, some of that already clearly is ongoing with projects that you are executing, but how do you see the returns on these investments? Any sense of the incremental EBITDA that you could generate from these projects? That would be great.
Rex Query: Yes. I'll start, Carlos. First, regarding capacity utilizations, we don't break those out typically in detail by business. But if we think about overall volumes in the first quarter, it's probably going to be slightly up because of seasonality in the first quarter. Sheet could be slightly down whereas other products we would think would more than offset them, in general. And we would see that volumes would probably improve from that level in the second quarter because there are winter factors with weather and stuff that affects some of the shipments. And also Omicron is affecting supply chains. And maybe at the end, I'll make some comments about the year that are more global about what we're thinking about regarding the economic impacts from Nucor. But relative to CapEx and benefits, we do -- when we announce each project, we generally give some sort of when it's a major project. We give some sort of EBITDA run rate -- so I'll go back and read our earnings release that we published about each of the major projects and see that data -- and we may, at some point, come out with something more formal, where we recap a number of projects that are coming nearing completion and give what the cumulative EBITDA benefit is. But in my remarks, I talked about what we're seeing real time in 2021 in EBITDA from the projects that were recently completed. Okay. Does that make sense?
Carlos De Alba: Yes, that makes sense.
Leon Topalian: So first, relative to the year because part of your question gets into what to expect for the year. And I think there's two important areas to think about. One is what our earnings is going to be and what is our free cash flow going to be and that those are the things that I think interests you most. And it starts with end market demand. We've already touched on this, but end market demand remains strong. And it's -- the heart of it is non-res construction, biggest user of steel, but we're still not benefiting yet. Auto is still down. Auto is still down because of chips, and auto will ramp up until later this year. And so we're going to see increased demand from auto. We're not seeing the benefits from the infrastructure building, that's still coming. So over and all, we think about end-use demand for steel will be up in '22 over '21, and there are some important pieces that are not benefiting us in the first quarter this year that are still coming. So that's the starting point. Secondly, you've touched on -- others have touched on this already. We've got the largest downstream products businesses of any of the steel companies. And they were getting margins squeezed for all of last year and pricing has finally started to catch up. There's still businesses that have more room to go in terms of expanding their margins and getting prices cut it because of the size of what their backlogs to be. And so, we expect to see margin expansion in the first quarter and beyond for those businesses. So that's a positive. Again, the next is going to be the incremental benefits from the ramp of three major projects: Hickman, the galvanized line, the Gallatin hot mill, to the extent that there's enough sheet demand to ship some portion of 800,000 tons of extra capacity we'll have for the year. And then finally, the Kentucky merchant bar mill, we've been running parts of its capability, but not its full range yet. And there's still some incremental capacity in Kentucky that we're not benefiting from that we will benefit from next year, so another positive for the years out. And then finally, intercompany eliminations. Last year, our intercompany eliminations expense to revalue inventory to the cost of manufacture totaled about $776 million. And it's going to be a much smaller number next year. It will be much closer to zero. So that's going to be a significant benefit to our earnings results for the year. There are some headwinds for next year. The biggest one being the sheet price correction that's really tied mainly to imports, but when you think about the sheet market overall, our EBITDA for the year could approach the level we achieved last year because our EBITDA ramped dramatically from the first quarter of last year to the end of last year. We made somewhere in the $285 a ton of EBITDA in sheet in the first quarter. We finished the year close to $800. We averaged $560 per ton in sheet last year. So sheet could still average at or above what they did last year based on what we're seeing today. We're not predicting that. We just don't know, but we're saying that's within the range of possibility. That's the biggest question mark in your forecast for the year is what sheet does. Longs, plates, beams, bars, they really should do a little better in 2022 overall than they did in '21 because, again, we started out with a weak first quarter for a lot of these businesses. Raw materials will be down year-over-year. And that's because in 2021, when raw material prices were rising, we had inventory in the supply chain where we captured value. And so we made money in DRI because of low iron ore prices that we had on the ground and in our contracts. We made money in scrap because we had scrap in our scrap yards that was being priced higher every month and every quarter, as prices were rising. So the raw material segments would be a small tailwind. Small headwind, excuse me, and depreciation and amortization is going to be higher. Last year's number was about $865 million. This year, it's going to be just north of $1 billion. So that will be a small headwind. So if we trend like that, you're going to start with some earnings number when you filter through what assumptions you make around that. It's going to be a pretty strong earnings number and we go to free cash flow. Well, working capital used $3.3 billion of cash last year. I said that in the script when we look at inventory, receivables and payables, net. They're not going to use that much cash this year. In fact, it could be a small benefit. That's incremental free cash flow. Capital spending is only going to be up in the neighborhood of $700 million based on what we see today. And of course, we had a fairly robust M&A pipeline. We've got one project that we're going to be closing on soon, and that's the CSI project base. It's not as big as the combined things we did last year by a large amount. And there could be other things coming. We have capacity to do more. When you think about our free cash flow next year, we reduced our share count by 11% last year through significant capital or returns of capital to investors through share repurchases. We noted in my comments that we're going to be doing some strong share repurchase in the first quarter. This could be another year for strong free cash flow where we return a sizable amount of cash to our investors. So those would be our thoughts about how to think about the whole year from a big-picture perspective.
Operator: Our next question comes from Emily Chieng with Goldman Sachs.
Emily Chieng: Congratulations on a strong update today. My first question is just around the capital allocation. And I think last year, you shared that you've been able to execute both growth and a significant amount of capital return. How could we think about that balance going forward in 2022? And what does the next chapter of your growth strategy look like?
Leon Topalian: Yes. Emily, I'll start off, and thanks for the question. As we mentioned and have talked previously, our mission is very simple. It's a word. It's to grow the core, expand beyond and live our culture. If we think about the core of our steelmaking capabilities, it's the expansions of regional and capabilities. It's not about adding capacity. So the acquisition of CSI for us and having JFE as a second partnership in California and again, a majority shareholder in that operation is really exciting for us. The announcement of our rebar micro mill will continue our market leadership position in rebar. The new mill in West Virginia, we are incredibly excited about because, again, it provides a long-term differentiated value proposition for our customers that have been asking for in need. And if you think about the move in the time over the last 24 to 36 months and what's going on in ESG, the world the sustainability side of our industry is paramount. And again, Nucor is incredibly well positioned as one of the cleanest steelmakers in the world to offer the steels like we just did to General Motors. So that is going to continue. You're going to see Nucor continue to grow our capability. The second piece of that is the expanding beyond, beyond the traditional bounds of our steelmaking range. And those projects like Hannibal Industries in racking, like CENTRIA and Metl-Span to give us a market leadership position today in the insulated metal panels. That is all about the digital economy. As we think about what's happening in warehousing, data storage, cold storage, that is a booming industry that really is insulated from the traditional cyclicality of steelmaking. And so, you're going to see Nucor continue to move and invest in projects where we can combine our culture, our strong balance sheet and our investment strategy and deploying capital that will greatly exceed our cost of capital goals to return to our shareholders. Jim, anything you'd add?
Jim Frias: The only thing I would add, Emily, is that when we think about returning capital to investors, that portion of it, it's going to start with 40% of our earnings. And that's going to be a pretty good number in the first quarter. And -- but we do use an intrinsic value model that we show the Board every quarter. There's a very disciplined process. We published our net debt to capital range that we want to live in to maintain our strong investment-grade credit rating, that's 18% to 22%. We're below that right now. And so we would expect that we need to keep investing and returning capital investors both. And we have the capacity to do both as we go forward. The other thing, Leon, that regarding growth is we are likely to have another announcement next week on a growth initiative that's in the pipeline. That's again to add capabilities around our product mix. Do you want to talk about that at all?
Leon Topalian: Yes. Thanks again. Stay tuned in the coming days, we will announce as we think about our portfolio and our weighting, particularly around sheet, moving up the value chain and expanding our offering in galvanized and painting. Again, in the coming days, you'll see another announcement we're very excited about that. We'll continue to move us in that direction and again, providing a better rounding out of that value added in our sheet products businesses.
Emily Chieng: Got it, that's very helpful and look forward to an update. My second question just very quickly is around the integration progress you've made at some of your recently acquired businesses, including Hannibal and IMP. Perhaps give us a sense of how they are trending relative to expectations today. I'll leave it at that.
Leon Topalian: Yes. Thanks, Emily. I'm going to turn this one to Rex Query, our EVP of our Sheet and Tubular, who's over at the Hannibal Industries, and then maybe Chad touched on our CENTRIA and Metl-Span.
Rex Query: Emily, thanks for the question. Hannibal Industries, our first step into the racking side. And obviously, we look for companies that are successful is our first approach for Nucor. Hannibal has been very successful, but also just a cultural fit in the first place. So integration to us, we look at that leadership and if an existing company and we evaluate that fit as well. And so that's what we found in Hannibal. They have a couple of operations, California, Houston, the leadership we've had there, really just spectacular fitting well with our company. We hired a -- or shifted a General Manager, existing General Manager of Nucor over that business. But we're really pulling that group in to get them to understand Nucor, integrate in, look at our production bonus system and how we incorporate that. But it's very much step in, learn as much about their business as well. I'll also comment on Hannibal and the racking, that leadership team, and that includes the existing there and the ones we've added from Nucor. They're tasked with growing that business. So we're already evaluating acquisition potential, greenfield potential in the racking business. So we stepped into that business for the purposes of growing and growing further geographically and expanding our capabilities there.
Chad Utermark: Yes. We're very excited just like Rex said, about Hannibal, but especially in the IMP space and Leon mentioned about that space. And I want to actually want to talk a little bit more about it. But we're excited about the Cornerstone IMP acquisition, the team that we now have. The insulated metal panel space has been attractive to Nucor for a long time, and we were excited back in 2019 to purchase a start-up company called TrueCore and we're equally excited to welcome the Cornerstone IMP team into Nucor. We are working diligently through the integration and onboarding process. While we face some short-term challenges with chemical supply and a portion of inadequately priced backlog at the time of acquisition, we're still very excited about our future in IMP. And again, just why IMP? First of all, there is significant growth. I think Leon mentioned it earlier in this controlled environmental facilities, e-commerce, data centers, food, medicine. Furthermore, building codes across the country for commercial and industrial buildings continue to be more stringent and insulated panels are one of the best solutions out there in the construction market to achieve those thermal requirements. More and more companies, as you guys know, developers and owners see the value and are focusing on the E and ESG. And we've also watched the growth of IMP in Europe. And we believe the U.S. market, while currently about $1 billion market for IMP, we believe that could grow in excess of $2 billion. So still onboarding, still integrating. We got a few challenges to work through, but excited about the future.
Leon Topalian: Thank you, Chad. And I'll just close and saying, hey, we welcome the Hannibal team and insulated metal panel team to the Nucor family. And again, excited about the opportunities of those businesses will bring in the years to come.
Operator: We'll take our next question from Seth Rosenfeld with BNP Paribas Exane.
Seth Rosenfeld: I have two questions. First on plate and then I'll follow up later on green steel, please. On the plate market, obviously, plate prices have been remarkably resilient the last couple of weeks even a sheet has fallen a accelerating rate. Can you just give us a bit of color on what you're seeing specifically supporting the plate market today? What's unique in that supply-demand balance? How sustainable is that? In the past, we've seen a pretty tight relationship in plate in hot rolled. Do you think that can break out right now? Or is there a reason to be more concerns looking into the middle of the year for plate? I'll start there, please.
Leon Topalian: Yes, great question, Seth. I'm going to kick that to Al Behr, our EVP of our Plate and Structural Group now.
Al Behr: Thanks, Seth. I appreciate the question. I don't know that I'd add a lot more than what we've talked about as a consistent drumbeat around demand. The pricing for our product is always driven by demand. And what we see in the plate market, I'd highlight three key markets for us. One is non-residential construction. We've talked about that quite a bit. Our visibility into that market is extremely good, and the demand picture is very strong. Another key market would be heavy equipment, industrial equipment. That market is very strong right now. If there's any indication of weakness that's around supply chain and not true consumption and demand at the OEMs. The final market I would highlight would be energy, broadly energy, which includes renewables as well as oil and gas. Oil and gas has been a bit weaker in the last couple of years, and that with oil prices today is growing by the day. So that really is what it comes down to Seth. It's just a very solid demand picture. Our crystal ball gets pretty buzzy when we look out very much past the next month or so. We don't know what the rest of the year will bring, but we're optimistic about the plate market. The demand in key markets is very good. And we instituted a published price in August of 2020, and that's a relevant price. We're committed to keeping that as a relevant price that's transactionally based. And as we need to move that according to the supply and demand in the markets, we will do that. But what direction that may go is just tough for us to tell, then the demand is good, and we're encouraged.
Seth Rosenfeld: A separate question, please, on Econiq for the green steel brand. First, congrats on your first delivery to GM. Can you give us a bit more color on the scale of volume growth you think could be achievable, say, in the next one to two years? And then on the pricing side, obviously, demand is perhaps growing very rapidly right now. Supply is very tight. What's the degree of pricing power you're able to achieve compared to any cost escalation perhaps as you adjust raw materials mix or power supply?
Leon Topalian: Yes. Thanks, Seth. And we're excited about Econiq. Again, this, again, more recent transformation over the last two, three, four years, and moving into a much more sustainable place, Nucor is, again, I think, been ahead of the curve. We've done things that many in our industry have not. We've got two virtual power purchase agreements today that because of our balance sheet allow us to be able to do those things. We're starting out with a carbon intensity that is 3x or 4x lower than some of our integrated competitors. So we begin from a platform of great strength and again, a commitment to be even stronger and even cleaner. So we've announced a 35% reduction target by 2030. That will bring us to about a 0.37, 0.38 tons of CO2 per ton of steel produced, which, again, in the world, numbers is incredibly low. So it enables Nucor to offer what we did to General Motors a few weeks ago in the first coil of net zero steel to their factory. That being said, what I would tell you, again, in the two -- just over two years I've been CEO, that demand picture is changing markedly, literally day-to-day. So it's not just the major OEMs in automotive now that are asking for it. We're seeing many of our construction, many of our OEM partners outside of automotive that are beginning to ask for this. And so I'm not going to detail out what the value is. I would tell you that, that value increases as we move forward because many of our end customers cannot achieve their end stated goals of their carbon footprint reduction targets without an incoming steel that is significantly lower than most of the world averages. So what I would tell you is there is value there today. Make no mistake. That value will continue to increase. And we'll see how that moves through over the next 8, 10, 12 and 24 months in terms of the amount of steel that Nucor participates in and how fast we escalate that, but we kind of control that. We have the opportunity to continue to enhance that and do what's required to meet that demand picture.
Operator: Our next question comes from Timna Tanners with Wolfe Research.
Timna Tanners: I wanted to ask a bit about your visibility into the first quarter now that lead times are a lot shorter. Can you talk a little bit about how good your visibility is for sheet in particular and what you're looking for in order to ramp up Gallatin, like what conditions? Is it demand? Is it price or both?
Leon Topalian: Yes. Maybe I'll start, and Rex, maybe if you want to add some color. Look, I think with the Gallatin expansion, as Jim mentioned, and possibly Rex, we're going to be disciplined in that ramp up. At the same time, balancing out we've invested a lot of money. So we want to make sure that equipment is ready and available as we progress out. So, that team is working feverishly to bring its capability to where we need. At the same time, I would tell you over the last 12 or 18 months, particularly as we've moved through the last contract season, Nucor has been very disciplined about our approach into the marketplace and how we want to transact. So as Jim mentioned a few minutes ago, we're not going to flood the market just because we want to produce the steel out of Gallatin, and we're going to have a very measured approach and a very deliberate approach into the marketplace. So I expect that we're going to scale up. As we've mentioned throughout the call, we used to track and share, I think, the numbers of end markets. And we track virtually every end market that you can imagine. Of all the end markets we look at, virtually every one of them is projected to grow. In fact, our estimated growth for full year 2022 is about 6% in terms of overall shipment increase. So, we see that as an opportunity. And again, we expect Gallatin to continue to ramp up and meet its objectives and hit the nameplate investment, which is about 1.4 million tons of additional capacity. But Rex, any other color you'd like to share in terms of that ramp-up?
Rex Query: Yes, Timna, thanks for the question. Regarding the visibility, we have good visibility. I mean we talk with our customers weekly. And with the correction that we're seeing right now on the sheet side with what you see in some of the pricing, what led up to that is we entered 2020 with COVID, and things started to contract and shut down. And 2021 was the recovery, so to speak, from that standpoint. So you saw demand increase considerably pricing runoff. That's an opportunity as that demand is increasing for some import to come in. And that's what we've seen as we come in late in the year and we see some of that correction occurring. But the thing we keep hearing right now is this is short-term temporal correction in the underlying demand, much like Al mentioned in those sectors. Those are key sectors, the automotive sector that Jim Frias mentioned as well. What we hear from our customers is they do expect 2022 overall to be a fairly strong year from demand. So that's what we hear from our customers. We see this temporal correction. And as Leon just stated about Gallatin, it's really an opportunity as we're getting some work done there. That team has been in a construction mode for quite some time now. So we're able to ramp that up as we see fit. And so what will we be looking for? We're going to be looking for that demand. It's not a price standpoint. It's the demand we're going to make sure we take care of and service our customers.
Jim Frias: Timna, the one thing I would add to that is keep in mind, we're a bit more hot band centric than some of our competitors, and that's where most of the imports have come in. And as you look at what we've done over the past few years, we've been adding galvanizing lines. We're wrapping one up at Arkansas right now. We started one up at Gallatin the year before that. We've got one in Mexico now that's consuming substrate -- part of the substrate comes out of our Berkeley mill. And we're getting ready to announce another galvanized line soon. So we recognize that, that's a part of our portfolio that would perform better for were quite so weighted to hot band. So, we expect to keep doing things to try and deal with that. But that's one of the reasons why we're being impacted, the way we are is our reliance on the hot band market.
Timna Tanners: That makes sense. My other question was just on contracts into 2022. I know that there was a lot of chatter about moving to shrink the discounts against CRU. And in the past, you've helped us understand Nucor's breakdown of contract business and how to think about it. So I was wondering if you could update us on how those contract negotiations went now that they're over. And any changes in your exposure to automotive, please?
Leon Topalian: Yes. Maybe I'll start with the automotive, and then Rex, you can update on the contracts. For a long time, we've been in that 1.5 million to 1.6 million ton a year range in the automotive side. Our expectation and our stated goals are to double that to around 3 million tons. And so what I would tell you, in a year that was way off because of the chip shortages in 2021 somewhere in that 12.5 million, 13 million units. Nucor's share in automotive grew, and that is going to continue to grow. And so I can tell you, there's a lot of excitement about Nucor's capabilities being the first EAF to be able to produce a full generation three steel in Hickman as well as what the opportunity and capability of the West Virginia sheet mill will be able to do in terms of transforming a differentiated clean steel, net zero steels into the OEMs. And so, we're committed to move there. At the same time, our goals are not to get overly weighted. We're not looking to move to 20% or 25% of our overall mix in automotive. But to be in the 10% to 12% range, I think, is probably about the right number today. Rex, do you want to touch on contracts?
Rex Query: Yes. I'll finish up on the Hickman galv line. Really, just pleased with what's occurred there, the start-up of that. It's going to be an automotive capable and focused galv line with the additional or the extra high strength. So, we'll be able to feed into that. So that's a step for sure into that. And the new Midwest mill, as Leon mentioned. Automotive is going to be a significant portion of what we look for in that business for that. So you'll see that growth occurring. On the contract side, we're contract season, I would say was what we expected, we had going into it some strength in the marketplace from a demand standpoint. So, the things from great extra, some of those things, but we're discuss with our customers, but at the same time, you got to look at the total package, if you will, of what they see as value. So it's more than just what those pieces are. It's price, but it's delivery, it's service. So our contract season for us, we finished very typical with what we target for contract percents, both on the service center side as well as overall. So, we're in the 80% range and overall target for us. So fairly typical from a volume standpoint as we finish up contract season for heading into 2022.
Leon Topalian: And we had very few customers that chose not to renew. Isn't that correct?
Rex Query: Yes. In fact, I would tell you, we had more requests for increased volume. So I've seen some of the information of not running in their contracts, those types of things. We did not experience that as a company. In fact, it was the other way around. We performed in a really tight market for our customers, and we had the interest in renewing contracts. That's what we saw for this season.
Operator: And our next question comes from Michael Glick with JPMorgan.
Michael Glick: A couple of questions on the market. You mentioned your hot band exposure. And right now, we're looking at historically wide spreads between hot-rolled and value-added products. Do you expect that spread to contract back to where it has been historically? Or do you think there's something going on to keep those spreads wider than we've seen historically?
Leon Topalian: When you say value-added products, what are you referring to?
Michael Glick: Cold-rolled and coated products.
Leon Topalian: Got it. Yes. Look, Michael, I would tell you, I think the overall trend is, you're going to see that gap shrink. We saw, obviously, a huge spike of imports coming in mainly from Canada and Mexico. Predominantly hot band is what we saw with CRU's numbers out yesterday. Those numbers are correcting. And so, I think you're going to see a a closer level set to norm. But what's norm, right? Coming off a historic year like we had in '21, I think there's three things that Nucor has touched on over really the last year. If you look at our industry over the last 12 or 18 to 24 months, there's been significant shift in consolidation, rationalization and trade. If you think about just five years, six years ago, we had about 55 cases that were won in carbon steel. Today, that's over 110. The trade case is different, but obviously, the door opened up with the massive spread. So while I think there's some correction, I also think the industry has moved as well as Nucor in terms of creating higher highs and higher lows that will continue to move forward. In terms of the overall where that ends up, I'm not going to speculate. I would tell you that the healthy functioning market, it's going to find its equilibrium. And at the end of the day, supply and demand will always be the drivers to how we price our products.
Michael Glick: And then my second question will also be just kind of bigger picture. The focus on potential capacity curtailments has been on the blast furnace side, but I presume technology on the [indiscernible] side has improved pretty considerably since the late 1980s. I mean do you see any industry EAF flat-rolled mills nearing the end of their relative useful lives given the dilutive impacts on portfolio returns and are of higher scrap and labor costs and a fleet of new mills coming on?
Leon Topalian: Look, I can only speak to Nucor. And I would just tell you, Nucor has had a long history like 5.5 decades worth of reinvesting back into our mills so that as those mills generate the returns and the EBITDA and the margins, we make sure we reinvest for the long term in all of those assets. So the modernization that our acquisition of the Marion facility, our investment in Kankakee, our investments across the entire product portfolio has been significant in the billions and billions range. And so from a Nucor perspective, I would tell you not at all. Some of our oldest mills are the highest generating returns that we have in our entire portfolio, and it's because we do a great job of reinvesting our teams do an amazing job of keeping the maintenance enough to keep and staying on the latest trends for the improvements in technology to implement, to ensure not only the safest delivery of that steel, but also the lowest cost output to those steel products for our customers.
Operator: And that concludes today's question-and-answer session. At this time, I will turn the conference back to Mr. Leon Topalian for any additional or closing remarks.
Leon Topalian: Thank you. As we conclude our call today, I just want to thank the entire Nucor family, for delivering the safest year in our history and the most profitable year in our history. Thank you. And I look forward to continuing the exceptional performance across all of our businesses in 2022. To our customers, thank you for the trust and the partnership as we continue to build the capabilities required to differentiate Nucor as the supplier of choice. And finally, to our shareholders, we're proud of the record returns provided in 2021. However, we're not resting on our past performance. The Nucor team is focused on maximizing our profitability and continuing to be great stewards of the valuable shareholder capital you entrust us with. Thank you, and have a great day.
Operator: And that does conclude today's conference. We thank you for your participation. You may now disconnect.